Operator: Please stand by. Your program is about to begin. [Operator instructions]. Good day, everyone, and welcome to today's Bain Capital Specialty Finance Second Quarter Ended 2020 June 30, 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask a question. [Operator instructions]. It is now my pleasure to turn the conference over to Miss Katherine Schneider. Please go ahead.
Katherine Schneider: Thank you, Marjorie. Good morning and welcome, everyone, to the Bain Capital Specialty finance second quarter ended June 30, 2024 conference call. Yesterday, after market closed, we issued our earnings press release and investor presentation of our quarterly results, a copy of which is available on Bain Capital specialty Finances Investor Relations Website. Following our remarks today, we will hold a question-and-answer session for analysts and investors. This call is being webcast and a replay will be available on our website. This call and the webcast are property of Bain Capital specialty finance and any unauthorized broadcast in any form is strictly prohibited. Any forward-looking statements made today do not guarantee future performance, and actual results may differ materially. These statements are based on current management expectations, which include risks and uncertainties, which are identified in the Risk Factors section of our Form 10-Q that could cause actual results to differ materially from those indicated. Bain Capital Specialty Finance assumes no obligation to update any forward-looking statements at this time unless required to do so by law. Lastly, past performance does not guarantee future results. So, with that, I'd like to turn the call over to our Chief Executive Officer, Michael Ewald.
Michael Ewald: Thanks, Katherine, and good morning, everyone, and thank you for joining us here on our earnings call. I'm joined today by Mike Boyle, our President, and our Chief Financial Officer, Amit Joshi. In terms of the agenda for the call, I'll start with an overview of our second quarter ended June 30, 2024 results and then provide some thoughts on our performance, the overall market environment and our positioning. Thereafter Mike and Amit will discuss our investment portfolio and financial results in greater detail. As usual, we'll also leave some time for questions at the end. So starting with yesterday after market close, we delivered solid second quarter results. Q2 net investment income per share was $0.51 as we continued to benefit from high base rate interest rates across our portfolio. Our net investment income return represented an annualized yield of 11.6% on book value and covered our regular dividend by 121%. Q2 earnings per share were $0.45 or an annualized return on equity of 10.2% as credit fundamentals remain healthy across our entire portfolio. As of June 30, our net asset value per share was $17.70, unchanged from the prior quarter-end. Subsequent to quarter-end, our board declared a third quarter dividend equal to share and payable to record date holders as of September 30, 2024. The board also declared an additional dividend of $0.03 per share for shareholders of record as of June 30 as we previously announced back in February. This brings total dividends for the third quarter to $0.45 per share or a 10.2% annualized rate on ending book value as of June 30, which we believe represents an attractive yield for our shareholders. Turning now to the market environment, we continue to see healthy transaction levels during the second quarter, driven by both refinancing and new deal activity, although new deal activity still remains at lower levels relative to historical periods. In spite of this lower activity level for new M&A, we believe the private credit market remains well positioned for future growth, given the large amount of private equity dry powder earmarked for new deal activity on the one hand and mounting pressure for sponsors to return capital to investors through portfolio company sales on the other. Furthermore, market expectations for future rate cuts have increased in recent weeks on the back of softer economic data, which could continue to drive new activity levels into this year and into 2025 as well. Against this backdrop, Bain Capital's private credit group remained active in the middle market, sourcing new investment opportunities from our broad and deep set of relationships, while still remaining highly selective. Our gross originations during Q2 were $307 million, up 55% year-over-year, though down approximately 24% from Q1 levels of $403 million. During the quarter, we were active providing capital to new companies and add-on capital to existing portfolio companies to support their growth, through our platform incumbency advantage. Our Q2 originations were split nearly half-and-half between new and existing borrowers. We continue to see attractive terms in the core middle market, which we define as companies with between $25 million and $75 million of EBITDA and we're being Capital's platform has consistently invested over its 25 plus year history. Across our direct originations to new platforms during the second quarter, the median EBITDA of our borrowers was approximately $45 million. While we have seen some recent spread, compression terms and structure continue to be attractive, with a weighted average yield of 11.6% and median leverage levels of 4.6 times on these new originations. We also remain focused on investing in debt structures that provide us with strong lender controls. 95% of our Q2 originations to new companies were structured with documentation containing financial covenants tied to management's forecasts, and we have majority control in nearly 80% of these debt tranches, allowing us to drive eventual outcomes at our discretion. These statistics are consistent with our broader portfolio, showing our continued focus on these core tenets. Moving on to credit quality, our portfolio companies continue to perform well in the current market environment. Investments on nonaccrual status declined quarter-over-quarter and are below industry averages. Our non-accruals represented 1.2% and 1.0% at amortized cost and fair value, respectively, as of June 30. Credit risk rating trends were also stable during the quarter, with only a small percentage of our portfolio underperforming and on our watch list. We've been very pleased with the performance of our borrowers operating in a higher interest rate environment in recent years, and we believe this is a testament to Bain Capital's disciplined and highly selective underwriting process. Lastly, we also enhanced our capital position during the quarter by attracting new lenders to our platform. We increased the commitments under our secured revolving credit facility by nearly 30% and extended the maturity to mid 2029 from 2026. At the end of the second quarter, our gross and net leverage ratios were 1.03 times and 0.95 times respectively, which are the lower end of our target leverage ratio of 1.0 times to 1.25 times and position us well with ample dry powder to capitalize on new investment opportunities in the current market environment. I will now turn the call over to Mike Boyle, our President, to walk through our investment portfolio in greater detail. Mike?
Mike Boyle: Thank you Mike and good morning everyone. I'll start with our investment activity in the second quarter and then provide an update on trends in our portfolio. New investments made during the second quarter were $307 million into 77 portfolio companies, including $143 million into eleven new companies and $164 million in incremental funding to existing companies. Sales and repayment activity totaled approximately $474 million in the quarter, although 271 million of the sale activity was into our joint ventures. All of this activity resulted in a net harvesting of our investments of $167 million quarter-over-quarter. Our new fundings were split between new and existing portfolio companies as we leveraged our long standing relationships with private equity sponsored sponsors, who valued our industry expertise to help them grow and execute on their longer term business plans. This quarter, we remain focused on investing in first lien senior secured loans with 86% of our new new fundings into first lien structures. 9% of our investment activity was into investment vehicles, which included an additional contribution to the senior loan program. Sales and repayment activity across the portfolio was elevated relative to prior periods as we continued to ramp our joint venture investment into the SLP, which has been producing attractive return on equities for our shareholders with an inception-to-date return of about 16%. Turning now to the investment portfolio, at the end of the second quarter, the size of our investment portfolio at fair value was approximately $2.2 billion across a highly diversified set of 154 portfolio companies operating across 32 industries. Our portfolio primarily consists of investments in first Lien senior secured loans, given our focus on downside management and investing in the top of the capital structure. As of June 30, 63% of the investment portfolio at fair value was in first lien debt, 5% in second lien or subordinated debt, and 9% in equity and other interests. The remaining 17% of the portfolio is invested in our joint ventures, including 11% in the international Senior loan program and 6% in the senior loan program, both of which are primarily invested in first lien loans. As of June 30, 2024, the weighted average yield on the investment portfolio at amortized cost and fair value were 13.1% and 13.2% respectively, as compared to 12.9% and 13% respectively as of March 30, 2024. 93% of our debt investments bear interest at a floating rate, positioning the company favorably in today's higher interest rate environment. Moving on to portfolio credit quality trends, our credit fundamentals remain very healthy. As Mike highlighted earlier, we saw stable trends within our internal risk rating scale quarter-over-quarter risk rating one and two investments, which indicate that a company is performing in line or better than expectations relative to our underwrite, totaled 97% of the portfolio as of June 30, unchanged from the prior quarter. Risk rating three and four companies are underperforming investments comprised only 3% of our portfolio at fair value. Investments on nonaccrual improved quarter-over-quarter to 1.2% and 1% of the total investment portfolio and amortized cost and fair value respectively, down from 1.7% and 1.0% respectively in the prior quarter. This was primarily driven by the realization of one non-accrual in the quarter exited at the fair value from last quarter. As a reminder, Bain Capital's platform has deep restructuring of workout capabilities to utilize if needed to maximize value for our shareholders. We believe this deep bench of expertise positions us and our platform well throughout various market environments, especially today's higher interest rates environment. We would also mention that performance across our 100 plus companies within our underlying JVs continue to perform well consistent with the trends in our broader portfolio. Amit will now provide a more detailed financial review.
Amit Joshi: Thank you, Mike and good morning everyone. I'll start the review of our second quarter 2024 results with our income statement. Total investment income was $72.3 million for the three months ended June 30, 2024, as compared to $74.5 million for the three months ended March 31, 2024. The decrease in investment income was primarily driven by the decrease in other income. Our investment income continues to benefit from high quality sources of investment income, largely driven by contractual cash income across its investments. Interest income and dividend income represented 96% of our total investment income in Q2. Total expenses before taxes for the second quarter was $38 million as compared to $39.5 million in the first quarter. Net investment income for the quarter was $33.1 million or $0.51 per share, as compared to $34 million or $0.53 per share for the prior quarter. During the three month ended June 30, 2024, the company had a net realized and unrealized losses of $4 million. Net income for three months ended June 30, 2024 was $29.1 million or $0.45 per share. Moving over to our balance sheet, as of June 30, our investment portfolio at fair value total $2.2 billion and total assets of $2.4 billion. Total net assets were $1.1 billion as of June 30. NAV per share was $17.70, unchanged from $17.70 at the end of first quarter. As we demonstrated, strong NII over earning our dividend, coupled with stable credit quality across our portfolio. At the end of Q2, our debt to equity ratio was 1.03times as compared to 1.19 times for the end of Q1. Our net leverage ratio, which represents principal debt outstanding, less cash and unsettled rates was 0.095 times at the end of Q2 as compared to 1.09 times at the end of Q1. As Mike highlighted earlier, we further strengthened our capital position through increasing the commitment under the Sumitomo revolver credit facility to $855 million, up from $665 million, and extending the maturity date to May 2029 from December 2026. We were pleased with our ability to attract new lenders to the facility and we were able to hold the terms on our existing facility constant. As of June 30, approximately 49% of our outstanding debt was in floating rate date debt and 51% was in fixed rate debt. Our debt funding continues to benefit from low fixed rate debt structures. For the three month ended June 30, 2024, the weighted average interest rate on our debt outstanding was 5.1% as compared to 5.2% as of the prior quarter end. The weighted average maturity across our debt commitment was approximately 4.8 years as of June 30, 2024. Liquidity at quarter end totaled $712 million, including $617 million of undrawn capacity on our revolving credit facility, $98 million of cash and cash equivalent, including $67 million of restricted cash and negative $3 million of unsettled trade net of receivables and payables of investments. Subsequent to quarter end, our board declared a third quarter 2024 dividend equal to $0.42 per share and a special dividend, as previously announced, of share bringing total Q3 dividend to share. Both dividends are payable on October 31, 2024 to stockholders of record on September 30, 2024. As a reminder, our board declared a total of share additional dividend driven by our strong over earnings in 2023. We intend to pay these special dividend installments of share each quarter throughout the current year. We currently estimate that our spillover income totaled approximately ninety nine cents per share, representing over two times of our quarterly regular dividend. We will continue to monitor our undistributed earning against prudent capital management considerations. With that, I'll turn the call back to Mike Ewald for closing remarks.
Michael Ewald: Thanks Amit. And so, in closing here, we are pleased to deliver another quarter of attractive earnings for our shareholders with NII well in excess of our dividend and stable NAV, as our underlying borrowers continue to perform we'll. Bain Capital credit remains well positioned to execute on its direct lending strategy, given our platform's expertise, resources and relationships that have been built on 25 plus years of experience investing in the core metal market. We remain committed to delivering value for our shareholders through producing attractive ROEs. And thank you for the privilege of managing our shareholders capital. Marjorie, please open the line for questions.
Operator: Thank you very much. [Operator instructions]. We'll take our first question from Derek Hewett from Bank of America.
Derek Hewett: Good morning, everyone. I'm not sure if you addressed this in your opening comments, but could you talk about the 20 basis point increase in the overall portfolio yield seems to be an outlier relative to what we were seeing this earnings season?
Michael Ewald: Sure. Thanks for the question, Derek. A key component of the increased yield is the fact that we sold a number of our investments down into the senior loan program joint venture. As a reminder, that's a joint venture that's intended to hold many of the lower yielding assets off balance sheet, rather than keeping them on our balance sheet, and give us the flexibility to operate seamlessly in a market where spreads are tightening. And so really, that optimization of assets between the balance sheet and the SLP is a key part of what drove that increase in the yields quarter-over-quarter. Because as a reminder, both the SLP and our balance sheet focus on those first lien investments that are, we're in a market where there is some spread tightening, as we noted in our remarks. But we think we've set up a structure that works really well for this type of market environment.
Derek Hewett: Okay. And then, in terms of the, of interest coverage, did you mention what interest coverage was for the second quarter?
Michael Ewald: We did not highlight that specifically across the portfolio, but it is still more than 2x, when we look at the median interest coverage across the portfolio. And we've run, as we've talked about in prior quarters, a number of stress tests, really looking at prolonged interest rates, floating rate up at this level, as well as interest rate improvement from here or increase from here, excuse me. And that we feel like anything that has any meaningful interest coverage degradation is in our risk rating three and four basket. So I think the results of our interest rate sensitivities on the asset by asset basis are reflected in both the marks and the risk ratings of the portfolio.
Derek Hewett: Okay, thank you for that. And then my last question is just pick income. It's about 8% of total investment revenue. Right now it's only up about 1% quarter-over-quarter. But at what level would you start to get a little bit concerned about pick and then kind of, how would you characterize it? Is it kind of structured into the, was it structured into the original investment, or was this is the pick mainly related to amendments and other credit deterioration issues?
Michael Ewald: Sure. So the vast majority of the pick really comes from structures in the original investment thesis, and those come from opportunities where we were more junior in the capital stack. So on occasion, we are, we are doing a more second lean or kind of pick junior capital investment. And so we do have a large portion of the pick comes from those original underwritten pick streams. There are some situations where we're doing amendments and adding pick to the portfolio as well, in terms of getting increased yield on an underperforming company. But again, the majority really comes from the original underwritten investment that we're making.
Operator: Thank you. [Operator instructions]. We'll next move to Paul Johnson from KBW.
Paul Johnson: Yes, good morning. Thanks for taking my questions. I'm curious, for the loans that go into the JV, do any of those loans, given that the tick is kind of an option, the underwriting thesis, do, are any of those loans in the either the JVs tick loans and are you able to kind of characterize how much of the income side of those JVs is currently?
Michael Ewald: Sure. So the pick level of the joint ventures is very low. Those are not structurally picked loans that end up being traded down into those down into the ISLP or the SLP. So I would note that the interest income that's picked in both joint ventures is very, very low, particularly lower than compared to what's on balance sheet.
Paul Johnson: That's helpful. And then just on the performance of the JVs, I was wondering if you can kind of maybe talk to high level how those are performing non accruals and such. They've been obviously performing very well for you so far, but I look at 18% trailing return on the SLP fund. That's obviously a very strong return for any kind of JV. So you just kind of talk to that. What's, what's really driven that strong performance?
Michael Ewald: Sure. So starting with the SLP, I would say non accruals have been lower than what we've seen on our balance sheet and so they are closer to kind of one and a half to 2% versus the, versus the 3% of our risk rating threes and fours on balance sheet. So it is a very healthy portfolio in the SLP. And that, again, is driven by the fact that those assets are lower risk, lower spread originated in North America. And so that has been a very healthy portfolio to-date. In terms of the ISLP, where we are focused on international exposures, we've seen a slight uptick in non accruals, but again, still in line with what we're seeing on balance sheet. We've seen that trailing return out of the ISLP has been about 12% since inception, reflecting the fact that there is solid underlying credit health there. We have seen a couple of new non accruals, or one in particular, new nonaccrual, come up in the ISLP that has not yet defaulted or had a covenant breach. But we are keeping our eye on what the ultimate outcome will be for that investment and so some of the decrease in the ISLP mark this quarter was actually from that one new non-accrual, held primarily in the ISLP because it is a loan in the UK. But even in spite of that one name on non-accrual, we're still seeing that strong performance in the ISLP continuing.
Paul Johnson: Got it. That's very helpful commentary. And then just kind of in terms of like, the relative value currently spreads have obviously come in very meaningfully in the US middle market. Do you have any kind of preference in terms of relative value between kind of the international market versus the United States?
Michael Ewald: Yes. Thanks, Paul. Look, I think at this point they're still pretty equivalent. It certainly doesn't change, really day-to-day or week-to-week. It's more kind of quarter-to-quarter. We obviously have seen some rate cutting happen in Europe already, which we haven't seen in the US, so we're certainly mindful of that. But from an overall creditworthiness perspective, things like relative spreads, when you account for currency hedging, when you think about leverage levels, when you think about competitive positioning of the underlying portfolio companies, I'd say today it's pretty equivalent between US and Europe, and Australia has always just been kind of a steady fiveish percent plus or minus contributor.
Operator: Thank you. And I'd like to turn the call back over to our speakers for any additional or closing remarks.
Michael Ewald: Great. Thanks, Marjorie. And thanks, everyone, again for your time today and your attention as we went through our second quarter results here. We look forward to speaking with you again once we've got our third quarter results ready to go. Thanks again and have good days.
Operator: This concludes today's program. Thank you for your participation. You may now disconnect at anytime.